Operator: Thank you for standing by. I would like to welcome everyone to the ADT Third Quarter 2024 Earnings Conference Call. I would now I'd like to turn the call over to Elizabeth Landers the Head of Investor Relations. Please go ahead.
Elizabeth Landers: Thank you, operator, and good morning, everyone. We appreciate you joining today's call to discuss ADT's Third Quarter 2024 results. Speaking on today's call will be ADT's Chairman, President and CEO, Jim DeVries; and our Chief Financial Officer, Jeff Likosar; Wayne Thorsen, Chief Business Officer; and Don Young, Chief Operating Officer will also join us following the prepared remarks as we take analyst questions. Earlier this morning, we issued a press release and slide presentation summarizing our financial results. These materials are available on our website at investor.adt.com. Before we begin, I'd like to remind everyone that the former Commercial and Solar segment are reported as discontinued operations. Financials and metrics for current and historical periods discussed on this call will be for continuing operations, except for non-GAAP cash flow measures which include amounts related to the commercial business through the date of sale and solar through the second quarter of 2024. Today's remarks also include forward-looking statements that represent our beliefs or expectations about future events. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Some of the factors that may cause differences are described in our SEC filings. We will also discuss non-GAAP financial measures on the call. The most directly comparable GAAP measures along with a reconciliation to those measures can be found on our earnings presentation at the Investor Relations website. And with that, I'll turn the call over to Jim.
Jim DeVries: Good morning, and thank you to everyone for joining us today to discuss ADT's third quarter results. I'm pleased to report that ADT is continuing to deliver on our 2024 objectives. And as we close out the year, we're well positioned to deliver the full year financial guidance we outlined in February. We ended the quarter with a record recurring monthly revenue balance of $359 million, up 2% which benefited from strong attrition results at 12.8%. We continue to grow total revenue up 5% versus the prior year, while remaining focused on balancing profitability and investments for the future adjusted EBITDA was up 6% and we continue to deliver strong free cash flows. A highlight for the quarter is that our leverage ratio net debt to adjusted EBITDA is now at 2.9x. In addition to year-over-year gross add growth in our pro install residential business, I'll note that our results included a strategic customer portfolio acquisition for $81 million. This bulk account purchase is complementary to our existing customer footprint and was comprised of 49,000 subscribers. We believe that book deals such as this one are an ongoing and attractive option for capital allocation. Jeff will provide more details about our financials and full year outlook in a few moments, but I'd first like to share several comments about our business and strategic progress. As many of you know, we've been focused on investing in the product and experience ecosystem to create even more differentiated offerings and more reasons for customers to choose ADT and stay with ADT. As we've shared before a key component of our future is the new and proprietary ADT + platform which is now available across the country for a growing portion of our residential customers. The ADT+ platform includes a new app, refreshed hardware and several advantages including enhanced installation flexibility and configurability. Importantly, it also offers additional and stronger integrations with smart home devices such as Google's Nest ecosystem. We've built this platform as the foundation on which we will innovate and build unique experiences tailored to our customers' individual needs. The first of these experiences is Trusted Neighbor, which we officially launched in mid-August. Trusted Neighbor essentially allows customers to grant trusted individuals access to their homes for everyday events like package delivery or more urgent issues like water leaks. We're excited about the innovative and secure ways we're able to grant access such as with ADT+ on a neighbor's phone, codes or in combination with Nest's familiar face feature. We're working with our partners at Yale to introduce a Lock that grants access through biometrics, which will be available in the coming months. It's very early in the process but we're pleased with virtually all aspects of the Trusted Neighbor launch, everything from unit economics to our field response to customer satisfaction, there's reason for optimism. Importantly, this product introduction is just the first of many innovations we plan to develop and roll out over time. Additionally, as I've shared previously, we have expanded our Google relationship to include their CCAI platform and are currently exploring several opportunities across our business with early efforts focused on call center operations. We also remain focused on advancing our State Farm partnership. Working closely with State Farm, we're currently focused on the self-setup alternative or DIY in Georgia and we expect to expand this offering in Washington later this quarter. We're also launching an offering focused on leak detection in Maryland and Michigan in the coming weeks. We're pleased with the overall progress we've made developing new and innovative products and services for our customers and the foundation this provides for the future. Importantly, we'll use these learnings as we expand solutions for a national audience with a focus on protecting our customers and providing proactive risk detection and prevention. Additionally, we remain focused on our service delivery with a focus on both enhancing the customer experience and improving our operating efficiency. We continue to advance initiatives toward this end, including our ability to resolve more than half of service calls remotely, the expansion of our capabilities to diagnose and remediate customers' home network issues beyond their core security systems and the streamlining of our customer interface processes. Before turning to Jeff, I also want to acknowledge and thank our team members and partners for their extraordinary efforts to maintain continuity of service and assist our customers during the recent storms that affected the Southeast part of the country. It is during events, such as these, that are core belief, everyone deserves to feel safe, especially resonates. And I am especially proud of the dedication and hard work of our more than 13,000 employees to deliver on our commitments to customers. As we marked our 150th year in business, this past August, I have reflected on ADT's journey and accomplishments. I'm humbled to lead this historic company and very thankful for our employees, partners communities and investors who collectively help us achieve our mission of empowering people to connect and protect what matters most. And with that I'll turn the call over to Jeff.
Jeff Likosar: Thanks, Jim and thanks everyone for joining our call today. We are continuing our 2024 progress with very strong results through the first three quarters. Our overall performance is consistent with our plans and we are on track to achieve our full year guidance. Our exceptionally strong cash flow remains a highlight with $158 million in adjusted free cash flow including interest rate swaps in the quarter. This includes the $81 million outflow from our strategic bulk account purchase. On a year-to-date basis we have generated $520 million of adjusted free cash flow up 28% and already near last year's full year $525 million. The improvement drivers include our overall profitability, lower cash interest from debt reduction and the wind down of our solar business. These factors more than offset this year's bulk account purchase outflow and the cash generation from our former commercial business which we sold late last year. Adjusted net income for the quarter was $183 million or $0.20 per share. Year-to-date we have generated earnings per share of $0.56 up 33%. Total revenue for the quarter was $1.2 billion up 5% with Monitoring and Services revenue up 2%. Our record RMR balance of $359 million also up 2% resulted from higher average pricing the strategic book purchase and strong customer retention. We grew our subscriber base in the quarter and added 250,000 gross new customers with $14.7 million of new RMR compared to $13.1 million last year. This includes the benefits of the bulk account purchase which is part of our disciplined growth and capital allocation strategy. Our improved gross revenue attrition at 12.8% reflects our continued commitment to superior customer service and related retention improvements. This more than offset some headwinds from higher payment delinquencies and resulting cancellations. Installation revenue in the quarter was up $40 million or 32% in total as a larger percentage of our new customer installations continue to transition to a customer-owned model outright sales revenue was up 60%. Amortization of deferred subscriber acquisition revenue from installations under the company-owned model was also up by 14%. As we've described previously we expect this shift to continue as our new offerings evolve away from our legacy company-owned equipment model. We will share more detail as this becomes more material in 2025. Adjusted EBITDA for the quarter was $659 million up a strong 6%. The key driver was our higher monitoring and services revenue and resulting margins which reflect our strong operating and cost discipline. A highlight remains our service cost benefiting especially from the large percentage of calls we now resolve virtually rather than rolling a truck. Importantly and further to the discipline point we continue to invest in key technologies and capabilities to drive longer-term product differentiation and growth. EBITDA as a percentage of revenue was approximately flat as our profitability initiatives offset these investments and the higher mix of lower-margin installation revenue. We also remain very disciplined with capital allocation and we continue to benefit from the enhanced flexibility of our improved capital structure. A highlight here is that our net debt to adjusted EBITDA ratio at 2.9 times is now below the 3x threshold we had been targeting. Another highlight is that in October we extended and upsized our revolver with a new five-year $800 million facility with lower commitment fees and borrowing costs. Our overall net debt of $7.4 billion is down $1.9 billion from a year ago, with a weighted average cost of 4.5% and no significant maturities until 2026. We finished the quarter with just under $100 million of unrestricted cash on hand and no outstanding revolver balance. Our strong capital structure cash generation capability and liquidity afford us significant flexibility in capital allocation. We repurchased five million shares of stock earlier this month and continue to believe our stock is very attractive at recent prices. Approximately $225 million remain available under our share repurchase authorization. As we look to close out 2024, we are on track to deliver results consistent with the guidance we shared at the beginning of the year. We have consequently tightened our guidance ranges around the same midpoint for revenue, adjusted EBITDA and adjusted free cash flow, while we've increased the midpoint for EPS, which is trending towards the higher end of the original range. Our fourth quarter results will reflect normal seasonal and timing dynamics. Cash interest, for example is lower in the second and fourth quarters than the first and third due to coupon timing. New customer adds and therefore our SAC spending, tend to be higher in the middle of the year than around the holidays. And while we had a bulk account purchase in the third quarter this year, we had a similar transaction last year in the fourth quarter. I will also note that we are still assessing the effect of recent hurricanes and the mix of new subscriber additions in the fourth quarter. We have considered all these factors in our outlook ranges. As we approach year-end, we are very excited by our 2024 progress. This includes our year-to-date results, our confidence in delivering our full year objectives and the encouraging early trends from our new offerings and capabilities. This progress is the result of our having balanced near-term objectives and results with a longer-term focus and with a disciplined approach to allocating capital. And again, our progress and flexibility are increasingly enabled by our strong and improved capital structure with a focus on generating shareholder returns. I'm very enthusiastic about our business and look forward to closing the year strong and to sharing our full year results and 2025 outlook on our next call. Thank you, again, everyone for joining today. Operator, please open the line to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of George Tong from Goldman Sachs. The line is open.
George Tong: Hi. Thanks. Good morning. I wanted to ask about the bulk deal that you did in the quarter. Can you elaborate a little bit more on your expected financial impact for the bulk deal, as well as economics that come along with it?
Jim DeVries: Sure, George. So we executed a bulk as you're pointing out in Q3, it was for 49,000 accounts at a cost of roughly $80 million. The bulk was purchased from the same seller that we acquired a bulk from last December. In terms of returns, generally bulk returns are consistent with our dealer business, so high teens in terms of IRRs. We expect to continue to have opportunity to buy bulk. We've done so I think five of the last six years. And when we're making capital allocation decisions, we're always comparing bulk to dealer to incremental direct ads. This one in particular has a lot of density for us. We expect it will perform well.
George Tong: Got it. That's helpful. And then can you talk a little bit more about prevailing conditions and trends you're seeing in the residential market and how those conditions are informing your spending intentions for subscriber acquisition costs?
Jeff Likosar: George, it's Jeff. I'll answer that one. Somewhat related to what Jim's describing as to the attractiveness of bulks. It's really on a relative basis. We've seen some challenges in the macro environment interest rates higher fewer moves; in some cases customer credit quality as we look at what customers to underwrite not quite as great as it once was. I'd also highlight that we're in the process of rolling out our new platform and ecosystem which we're really excited about some of the early things we're seeing there. And then as part of that there's a couple of parts of our business we don't talk about quite as much that we've deemphasized health for example ultimately we will transition health to the new platform. But while we're making that transition we're not deploying capital to take on as many health customers with the older hardware. So they're all related to the reasons that we found the bulk relatively more attractive. And it's a little bit deeper detail maybe than we normally share but I'd also point out that excluding bulk if we just look at our core professionally installed residential customers those adds were up in the period year-on-year also which has nothing to do with bulk. And then last point is our total RMR adds for the quarter including the bulk we're up a really strong 13% also up on a year-to-date basis and we're ending with a record RMR. So we feel really good about our overall management of the portfolio and the adds.
George Tong: Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Ashish Sabadra from RBC. Your line is open.
David Paige: Hi. Good morning. This is David Paige on for Ashish. Congrats on the nice quarter and thanks for taking my question. I was wondering if you could provide an update on -- it looks like you made some good progress with partnerships and Google. Any puts and takes there that we should be cognizant of? And then also maybe what's like the longer-term potential from the partnership with Google and the new product rollouts? Thank you.
Jim DeVries: Thanks, David. I'll -- this is Jim. I'll provide a comment or two and then ask my colleague Wayne Thorsen to weigh in on the Google partnership. Overall things continue to go well. We had an infusion of Google success funds this quarter for another $7.5 million. I think that's $22.5 million year-to-date. Our engineering teams and marketing teams continue to work together. And I give the partnership great grades. They've done a lot of work in particular to integrate and roll-out Trusted Neighbor our new product. And I'm excited to see what we're going to do in AI. We're working with Google and leveraging their CCAI product. And Wayne and some of his colleagues are leading the way on that work and I'll ask him to weigh in.
Wayne Thorsen: Thanks Jim and thank you for the question. We are really excited about the partnership with Google Cloud and we're making great progress on a number of the initiatives some of which we mentioned last quarter. So we should be rolling out the first virtual agents that will help significantly with our deflection in care. Those pilots should be coming in the beginning of the year and then we'll plan to expand from there through 2025. It's too early to give a ton of direct guidance on that. But as I mentioned last quarter, these are pretty hardened products with a clear track record at many large companies with similar call centers and we have a high level of confidence in achieving some cost savings there. But we're also really excited, as we continue down AI, we're also really excited about some other partnerships, such as with sierra.ai, the conversational AI platform started by Clay Bavor and Bret Taylor. So we just launched our first pilot with them last week and they're already starting to take a small percentage of our chat traffic and that will be increasing dramatically over the coming weeks as we improve metrics. So, we're already seeing really positive results and we're excited to watch this rapidly improve and grow. They've been terrific to work with and we've been extremely impressed with both the technology and the people. So, another great partnership there on the AI front.
David Paige: That’s very helpful. Thank you.
Operator: I apologize. I was on mute. Thank you. Our next question comes from the line of Toni Kaplan from Morgan Stanley. Your line is open.
Toni Kaplan: Thanks so much. Jeff, at the end of your remarks, you had talked about that you're evaluating the impacts of the hurricanes and maybe there were some other one-timer-type items. Maybe you could talk about just one like what the impact of those would be? And if it's on third quarter or fourth quarter, I think that there were some hurricanes at the very end of the quarter and then some early in 4Q, and would you have raised the guide, if not for that or not big enough to have moved the needle there? Thanks.
Jeff Likosar: Yes, not really any effect in the third quarter. A lot of effect for a lot of employees, a lot of our customers, and you're having to manage through, personal challenges, of course, and we're very grateful to our teams, as Jim described, for helping manage that. What typically has happened in events like this in the past is it takes a little bit of time to assess exactly what customers might have had service disruptions and then we, of course, make those accommodations. We consider that in our guidance range. We don't expect it to be terribly material, but it's among the factors that we still have a range around revenue probably even more than EBITDA and some of the other measures. And then while I'm speaking of guidance too, I just would highlight we feel really great about where we are overall with respect to delivering what we said we would do at the beginning of the year. So we tightened all ranges around the midpoints the hurricane exact effect that was among the reasons that we did make them even tighter.
Toni Kaplan: Terrific. And I wanted to get the latest update on, really both your views on, what an ideal like M&A kind of target would look like primarily domestic or looking international as well and traditional security or more technology. Just wanted to get the latest on your strategic thinking around M&A targets? Thanks.
Jim DeVries: Thanks. I'd say generally speaking, like we're obviously going to keep our options open Toni. But I'd say in the main the focus is on in industry and the focus would be domestic. We're -- and I would say generally speaking more tuck-in in size than anything substantial. One of the benefits of being out of the solar business and out of the commercial business is it really has renewed our focus on our core. And we see a lot of opportunity there. And if we were to wait into the waters of M&A again I suspect that it would be in our core.
Jeff Likosar: And I'd add to that too. And we've talked about this but just to emphasize is that we're in a spot where we have a lot more flexibility to be opportunistic from all the progress that we've made in our capital structure. Having reduced our debt to by more than $2 billion you feel compelled to repeat that we got our leverage down below the 3.0 line so at 2.9 times. And we're always evaluating the deployment of capital between capital that generates near-term returns normal subscriber acquisition spending as an example versus capital deployed to invest in technologies capabilities that might have longer term and then M&A and then of course also returning more to shareholders with our dividend increase and our share repurchases so far this year.
Toni Kaplan: Thanks so much.
Operator: Thank you. [Operator Instructions] Our next question, -- oh, just dropped. There are no more questions in the queue. I would like to turn the call back over to the ADT team for closing remarks.
Jim DeVries: Okay. Thank you, Operator. Thanks everyone for taking time to join us today. We feel very good about the momentum in the business closing the year strong. I'd like to express my appreciation again to our ADT employees and dealer partners. Congratulations, on an excellent quarter. Thanks again everyone. And have a great day.